Operator: Good day, and thank you for standing by. Welcome to the Power Tools Limited Q1 2025 results presentation webcast and conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one and one on your telephone. You will then hear an automated message that your hand is raised. To withdraw your question, please press star one and one again. Available on the webcast link at any time during the conference. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Mr. Patrick Schorn, CEO. Please go ahead. Thank you.
Patrick Schorn: Good morning, and thank you for participating in the Borr Drilling Limited first quarter earnings call. I'm Patrick Schorn, and with me here today in London are Bruno Morand, our Chief Commercial Officer, and Magnus Vaaler, our Chief Financial Officer. Next slide, please. First, covering the required disclaimers. I would like to remind all participants that some of the statements will be forward-looking. These matters involve risks and uncertainties that could cause actual results to differ materially from those projected in these statements. I therefore refer you to our latest public filings. Next slide, please. Our first quarter results were largely as expected, reflecting the impact of temporary rig suspensions and preparatory work for upcoming contracts. Total operating revenue declined by $46.5 million quarter over quarter, resulting in adjusted EBITDA of $96.1 million for the period. During the quarter, we averaged sixteen active rigs out of our twenty-four rig fleet. Despite the lower activity level, operational performance remained robust with technical utilization at 99.2% and economic utilization at 97.9% for our active rigs, a reflection of the continued strength and efficiency of our operations. On the safety front, I'm pleased to report that several of our rigs received industry and customer recognition for outstanding safety performance. Notably, the Groa was awarded Qatar Energies HSE award for 2024, and the Prospector 1 received the 2024 best safety performance award from the IADC NORC chapter. In Thailand, Borr Drilling Limited received PTT EPs CEO safety excellence award for the second consecutive year. These achievements are a testament to the commitment and professionalism of our crews. I congratulate and thank the entire team for their efforts on safety. Looking at the second quarter, we are seeing a meaningful ramp-up of activity. Three suspended rigs in Mexico have resumed operations, while the Vale and Arabia 1 have both commenced their contracts. In addition, the Thor and Ran have secured new contracts starting this quarter. As a result, our operating rig count has now increased to twenty-two, laying the foundation for stronger financial performance in the quarters ahead. Our liquidity position improved during the quarter, supported by the collection of approximately $120 million in outstanding receivables from Mexico and $10 million in mobilization fees for the Vale. Following the quarter end, we received an additional $35 million in mobilization fees related to Vale and the Arabia 1. While we continue to pursue several opportunities in 2025, our commercial efforts are now increasingly focused on 2026. Our rigs in Mexico represent a significant portion of our available days in 2026 and beyond. The combination of increased activity in Q2 and the advancement of private investment projects in Mexico are positive for future rig demand and extensions across our fleet in the country. In light of uncertain market conditions, the Board has decided to suspend the dividend to further reinforce the balance sheet and enhance long-term value creation. While we are not issuing specific adjusted EBITDA guidance for 2025, we are, however, confirming to be comfortable with the current Bloomberg consensus estimate of approximately $460 million. I'll pass the call now to Magnus for the first quarter financial commentary. 
Magnus Vaaler: The results for the first quarter were highly impacted by temporary rig suspensions and mobilization of rigs to commence contracts, which led to us only having sixteen of our twenty-four rigs working on average during the quarter. The total operating revenues were $216.6 million, a decrease of $46.5 million compared to the fourth quarter. Day rate revenues decreased by $22.6 million, primarily due to a decrease in the number of operating days for Arabia 2, Ran, and the Thor, partially offset by an increase in operating days for Gerd, Gunnlod, and Vale. The overall decrease in day rate revenue also includes an $11.5 million decrease in deferred mobilization revenue related to Arabia 2, due to the recognition of accelerated amortization deferred mobilization revenue in the prior quarter linked to its contract termination in Saudi Arabia in Q4. Variable charter revenue decreased by $17.9 million as a result of the temporary suspension of the rigs Galar and Gersemi in Mexico. They were suspended effective January 8. Management contracted revenue decreased by $6 million due to the suspension of the Galar. Total operating expenses for Q1 were $156.8 million, a decrease of $5.1 million compared to Q4. This is primarily due to a $4.2 million decrease in rig OpEx and a $1.1 million decrease in G&A. The decrease in rig OpEx consists of $10.2 million of lower expenses due to the decrease in operating days, partially offset by a $5.2 million increase in costs associated with Gerd and Gersemi, as a result of the company assuming their operating expenses and stacking costs during their temporary suspension period. Prior to the temporary suspension and during operation, these costs are borne by the JV. Net loss for the first quarter was $16.9 million, a decrease of $43.2 million compared to the net income in the fourth quarter, and adjusted EBITDA was $96.1 million, a decrease of $40.6 million from the previous quarter. Now moving into our cash. Our free cash position at the end of Q1 was €170 million. In addition, we had $150 million undrawn under our RCF facility, resulting in total available liquidity of $320 million. Cash increased by $108.4 million in the quarter, compared to the previous quarter. Net cash from operating activities was $138.7 million, which included approximately $120 million in settlement of outstanding receivables from a customer in Mexico and $10 million in mobilization fees received for the Vale. We paid $6.1 million of cash interest and $16.9 million of cash taxes. Net cash used in investing activities was $25.1 million, of which $25 million related to cash used on jackup additions, primarily as a result of activation costs for the Vale and long-term maintenance costs. Net cash used in financing activities was $4.9 million and can be explained mainly by the $4.7 million payment of cash distribution to shareholders. Subsequent to the quarter-end, we have received approximately $35 million in mobilization fees following commencement of the contract for the Arabia 1 and the Vale. With this, I will pass the word on to Bruno. 
Bruno Morand: Thank you, Magnus. Let me start with our recent commercial highlights before moving on to the market trends. Year to date, Borr Drilling Limited has secured nine new contract commitments, adding $221 million to our backlogs at an average rate of $141,000 per day. We're pleased to see the continued execution of our commercial strategy. Since our last report, we secured high-quality contracts and attractive day rates, backed by our strong operational reputation. In Asia, the Skald received a binding LOA from Medco in Thailand for a 170-day program starting in October, following the completion of its current PTTP contract. The Thor has been awarded a 75-day contract with Vietso Petro in Vietnam, which began in late April. These allow the rig to return to work earlier than previously expected, and the rig is now contracted in Q3. We're pursuing active opportunities for work for the Thor into 2026. In Mexico, the rigs Galar, Gerd, and Gersemi have been extended by a combined term of approximately 390 days. These extensions offset the suspension period experienced earlier this year and preserve our regional backlog. Further, the Ran has been awarded a 140-day contract with Eni in Mexico, which commenced in May. The contract includes options that could extend the rig into Q1 2026. In West Africa, the Norve has received a letter of award for an eleven-month program expected to commence in the second half of 2026. And finally, the Gerd secured a one-year contract with Foxtrot International in Ivory Coast, expected to commence in Q4. These recent fleet developments, combined with the commencement of the contracts for the Vale and Arabia 1, have increased our operating rig count to twenty-two in May. Our 2025 fleet coverage now stands at 79% at an average day rate of $147,000. We're actively working with our customers on numerous opportunities, and based on the advanced stage of negotiations, we expect the coverage to rise towards the 80% to 85% range in the coming months. Our 2026 coverage has also grown. We're now at 35%, an increase of twelve percentage points since our last report. In line with the normal tendering cycles for jackups, we see an increasing number of tenders being launched for work in 2026, and our teams remain focused on firming up the coverage for the year. Additionally, several of our customers have expressed interest in discussing potential extensions to their existing contracts. We remain actively engaged with the customers and believe our strong operational track record, high-quality fleet, and incumbent status will support further progress in building our 2026 coverage. This includes Mexico, where we believe the resumption of work on our three suspended rigs, including the private investment project, should create a favorable environment for potential renewals. Looking at the broader market, jackup utilization has remained steady. Modern rig market utilization sits at 92%, relatively unchanged quarter on quarter. Adjusting for the net impact of the Aramco suspensions, modern utilization still sits just under 90%, which we see as a healthy level. Recent changes in trade policies and OPEC plus decision to unwind production cuts have introduced some uncertainty and price volatility in commodity markets. We're actively monitoring these developments and engaging with our customers to assess how these may affect future activity levels. Importantly, we continue to see shallow water projects as resilient. The projects are primarily related to brownfields, offering attractive economics at the current oil price, and faster cash flow cycles to our customers. Despite the recent market volatility, jackup tenders and awards have remained largely on track, as evidenced by our recent fixtures. On the rig supply side, this volatility continued to create a challenging environment for older jackups with reduced contracting opportunities as customer preference for modern rigs persists. We've seen a resumption in rig retirement in 2025 and expect this trend to continue. Conversely, with a limited number of new builds in the pipeline and no immediate prospects for further deliveries, we do not anticipate any future additions in the foreseeable future. Meanwhile, global demand outside of the Middle East remains resilient. Regions like West Africa, Southeast Asia, and the Americas are gradually absorbing some of the excess capacity resulting from Aramco's recent fleet adjustments. At the same time, recent fixtures suggest that Aramco may be preparing to secure additional long-term jackup capacity and create optionality. Current jackup activity levels in Saudi Arabia are in the mid-50s, a level consistent with 2019. Looking at Mexico, recent developments clearly show the link between rig activity and production. Since Q4 2024, Pemex's partial reduction in drilling activities led to nearly a 10% drop in production in this period. We're pleased that our three rigs have now resumed operations in May and are again contributing to Mexico's goal of restoring production to 1.85 million barrels per day. In short, while near-term volatility may continue, we remain confident in the long-term fundamentals of the jackup market. We are consistently delivering on our strategy, maximizing 2025's backlog, and building 2026 coverage while supporting our customers in the dynamic market. With that, I'll hand the call back to Patrick.
Patrick Schorn: Thank you, Bruno. So in conclusion, in 2025, we've made solid progress expanding our contract coverage and expect to reach 80% to 85% coverage for the full year. While we're still actively pursuing near-term opportunities, our commercial focus is now shifting towards 2026. Our operating rig count has grown to twenty-two, up from sixteen in the first quarter, giving us a solid foundation for earnings growth in the quarters ahead. In Mexico, all of our rigs are currently active, including one under a private investment contract supporting Pemex's production initiatives. This return to full operation positions us well for contract renewal discussions, with Mexico representing a meaningful share of our available rig days for 2026 and beyond. And while we continue to navigate some short-term uncertainty, the business we have built is resilient. The long-term fundamentals of the market remain strong, and Borr Drilling Limited, with its premium rig fleet, is well-positioned to capture future growth. Finally, in light of uncertain market conditions, the board has decided not to pay a dividend to reinforce the balance sheet and enhance long-term value creation. And with regards to adjusted EBITDA, we're on track to deliver 2025 consensus of approximately $460 million.
Operator: Ladies and gentlemen, we are now ready to go to Q&A. As a reminder, to ask a question, you will need to press star one and one on your telephone and wait for your name to be announced. At a time to leave room for other participants. If you do have any further questions, you can please rejoin the queue. If you wish to ask a question via the webcast, please type it into the question box and click submit. We will now take the first question from the line of Eddie Kim from Barclays. Please go ahead.
Eddie Kim: Hi. Good morning. I wanted to start off in Mexico. I think many were surprised that your three suspended rigs have now resumed operations, especially given the challenges in that market. Is this a sign that Pemex is finally getting their act together, or does it speak more to the quality of your rigs specifically? And separately, you have two of your PEMEX jackups coming off contract by year-end this year. What's the likelihood that you think those will be extended beyond that period?
Patrick Schorn: Yeah. Thank you, Eddie. So I think it is maybe a combination of a few aspects here. I think, firstly, there's a very strong realization in Mexico that with very low or no activity, production takes a very strong drop. And there is a lot of work going on to make sure that activity plans are drawn up and to make sure that additional production is created going forward, which means putting rigs back to work. Now clearly, where we benefit is on one side on the quality of the rigs, but more importantly, the well construction work that we are involved in in Mexico has over the last few years demonstrated that we can generate some of the lowest cost barrels, drill very efficient wells, and have done this approximately just short of a hundred wells offshore at the moment. So I think that the concept work, I think that we have a fairly long history of performing well in the environment and being very cost-efficient. And therefore, I think we are benefiting from being some of the, let's say, first rigs to go back. So I think that certainly has helped us. Now as to your question regarding the contract extension, I think that is something that we will be discussing with our customer and PEMEX here over the following months. I certainly expect that we have good contract extension opportunities in Mexico, the exact size of that is difficult to estimate at this moment. But I'm sure that we get more clarity in that towards the later part of this year. And clearly, based on the performance that we have had over the last three years in this contract, I would expect that we do reasonably well in that. But I'm very happy to keep you up to date as soon as we have more information on that.
Eddie Kim: Understood. Understood. Thank you for that. My follow-up is just on the uncertain market conditions you highlighted as the reason for suspension of the dividend. Could you just expand on this a bit more first? Are you seeing customers in certain regions getting increasingly more cautious about the outlook in your conversations with them, and perhaps pushing back drilling programs? Or does it reflect more of your expectations for further oil price declines due to OPEC or maybe a combination of both? If you could just expand on that a bit for us.
Patrick Schorn: Yeah, Eddie. I think it is a little bit more a macro situation where I think that we have all tried to get a good understanding of what the latest macro developments really are going to mean to the market. I mean, we have clearly had a lot of discussions around tariffs and what that might do to global GDP. And as a result, to oil demand. Counter that, we have seen that demand has remained actually quite strong. Overall, we see a lot of customers that do relatively short contracts. So from that, I can see that they are certainly keeping a little bit their finger on the trigger. Which I think is understandable as there are just quite a few items on the uncertainty list. Now what we also see is that when it comes to 2026 and beyond, there are some larger packages of work. I think when we start to see that being tendered and actively negotiated, and ultimately being awarded, I think we start to all have a much better feel for it. So I think it is purely a question of trying to be cautious, making sure that we have options on what to do with the cash as obviously dividend is not the only option that we have. But also working on the debt is at the moment quite attractive. I think we want to make sure that we have all options open while remaining cautious for as long as the uncertainty persists.
Eddie Kim: Great. Thank you very much. I'll turn it back. Thank you.
Patrick Schorn: Thank you.
Operator: We will now take the next question from the line of Doug Becker from Capital One. Please go ahead.
Doug Becker: Thank you. Patrick, your commentary on Mexico sounds encouraging. Do you have any visibility on the option for the Ran to be exercised? And outside of Mexico, the Prospector?
Patrick Schorn: Yeah. I'll turn that to Bruno. 
Bruno Morand: Thanks, Doug. I mean, we have indeed options there. Indeed, Doug. It's early days. The rig just basically just gone to work about a week ago. So we're still monitoring that. Conversations with the customer so far are encouraging. But we do see opportunities outside of that customer as well for the remaining Mexican. There's some other work with IOC that could potentially keep that rig occupied well into 2026. So we'll see. It's definitely a good timing to get the rig back to work. As we get closer to the end of 2025 and early in 2026, we do see an outlook that is more favorable to see that rig continue to work. But I'll probably leave it at that. Early days, the rig just went to work. We're pretty happy with that. 
Doug Becker: No. Fair enough. Are there are you able to provide any color in which rigs are expected to increase the contract coverage to 80-85%? Are there, you know, one or two rigs, or is it kind of a risk opportunity set?
Bruno Morand: Yeah. No. We were looking at the moment about three of our rigs representing that gap at the moment, Doug. And we're encouraged with quoting that number not out of thin air. We do have very active conversations with the customers at the moment, including some non-binding LOIs that we're working to progress. I wouldn't want to share more details at this time, but I'm pretty convinced that in the next couple of weeks, we'll be able to say something more about it.
Doug Becker: Sounds good. Thank you.
Magnus Vaaler: Thanks for joining. Thank you.
Operator: We will now take the next question from the line of Fredrik Stene from Clarkson Securities. Please go ahead.
Fredrik Stene: Hey, Patrick, Bruno, and Magnus. I hope you're all well. So I want to touch a bit upon liquidity in general. Because at least from the discussions that I've had with clients recently, I think it's very, very thematic. And, you know, some of this ties to Mexico, PEMEX, and the lack of just payment visibility from them. And the second comes to 2026 coverage and beyond. And, you know, you've obviously given kind of good commentary on that already. I was hoping that you could potentially provide a bit more color on how you see your own liquidity situation going forward. And, you know, by extension of that, if you or how you feel you're kind of positioned to weather a short to medium-term storm and also if you envision to touch the RCF either this year or next year in some of the more adverse scenarios that you might be running within your own sensitivity analysis. Thank you.
Patrick Schorn: Well, very good. I'll ask Magnus to comment on that.
Magnus Vaaler: Yeah. Thank you. Thanks for the question, Fredrik. I think we're in a good position going into this year with almost 80% of our days covered at just below $150,000 per day. So it's a very solid day rate as sort of the fundamentals of our liquidity going into the year. And also as you see, Bruno here is now starting to fill up the beginning of 2026 also with backlog at rates that are above our cash breakeven rates, which are derisking I think our liquidity any liquidity issues for us. We have received a $120 million payment from Mexico so far this year, which is about one year of receivables or earnings. So that's obviously also very, very positive and fills up our bank account. We do expect that PEMEX should go back to regular payments now throughout in 2025. Invoicing seems to be progressing as planned. And the signals that we are seeing is that Mexico should come back to their regular payments that they have shown over the past few years up until mid last year, I would say. So all in all, I think the base case looks very, very solid. Do not foresee any reasons for drawing on the RCF. As long as collections come in with the forecast that we are currently seeing. That being said, in scenarios where there are delays in payments from our customers or that we have experienced before from Mexico. We have the RCF of $150 million, which provides us with additional comfort there. I would also maybe lastly add that when you saw the regular payments stopped from PEMEX last year, we were also able to find alternative ways of getting paid. With this financing or factoring agreement which released almost 75% of our receivables on the balance sheet from PEMEX. So I think we have a lot of opportunities to also monetize on the receivables should not the base case go through. Yeah. Maybe I can add a few things because Fredrik, of course, it starts all with proper quality of revenue. And I think we have shown that we can generate that in 2024 where we ended up with $500 million of adjusted EBITDA. We are indicating a number now that is along the lines of Bloomberg consensus for 2025. Million euros or $460 million euros where you also see that we are still in an environment where it's very competitive and where jobs are not easy to find. We're able to continue to fill up the coverage for 2025 as well. Up to what we have indicated, the 80% to the 85%. We have no different intention to do with 2026. So you see that we have 35% at a very decent day rate. If you think about what Mexico represents on top of that, is about 20%. So you could say that with that, you're already starting to talk getting to the 55% to 60% of coverage. And we intend to continue to fill that throughout the year and try to be getting the right balance as we get this year between pricing and utilization. And I think as long as we can continue to be very focused on starting off with the right quality of revenue, and keeping the costs under control, that I think with the efforts on collections, we can do a good job on liquidity as well. At least that's what we've been doing so far. And we intend to approach it no different for 2026.
Fredrik Stene: That's very good color. Thank you. And, you know, I see Patrick, you kind of started to touch upon my follow-up here because of your building either the rest of 2025 and also through 2026. Maybe this one goes to Bruno first. Part of that would be, you know, the discussions with your clients. Are you just still able and confident that you can secure premium rates or rates without premium above market for your high spec capabilities, or are you, you know, in the current market getting pushback on that? You know, I guess what you've signed so far proves that you can, but interested to hear, you know, how does that look going forward? And maybe for Magnus on the cost side also in the context of liquidity here, if you're faced with idle time on some of these rigs and, you know, that pertains to Arabia 2 and more for that matter. How, you know, quickly are you able to ramp costs down and up if there is open capacity in between contracts? Thanks. 
Bruno Morand: Alright, Fredrik, so in terms of your question, and it's probably difficult to provide a single answer to that and whether we can get a premium on every job going forward. I think it depends a lot on the specifics of the project. We're obviously very well aware of the value that we bring to the customers with our high-end rigs. Offline capabilities, and features like that. And the tune that we know, we create value for our customers, we think it's fair that we continue to claim a bit of a premium for rigs and have been doing so for a while now. That all said, as we've been repeating for the last couple of quarters, at the moment, coverage is obviously just as important, if not more important, than the premium. So we keep an eye when we deliver value for the customer because of those project specifics. We certainly are very keen on driving to get there, and I think we have continued to do so. Maybe a bit more on projects that are a bit more cookie-cutter where we don't necessarily add an immense amount of value to the customer. We compete with the market trend. So we're comfortable with that. I think what is important is that the quality of our fleet still means that a lot of our customers default back to us and look at us as kind of the preferred alternatives, and that should give us a chance to fuel up the coverage better than our peers or in a faster place than our peers. And that's really the focus that we have at the moment.
Magnus Vaaler: Yeah. Then what's your question on the cost side of things when we have our rigs stacked? We currently have rigs warm stacked, so they are relatively easy to get back to work as you saw from the rigs that we have. This is in Mexico and the Ran we keep warming up that there will not be a lot of cost to bring the rigs out. And I would say a typical stacking cost for those rigs is in the mid $20,000 per day approximately. The exception is obviously the Var, which is a new build coming out of the shipyard where we can actually have a lower cost while it's sitting idle. And that's more in the area of $15,000 per day. So if we look at stacking periods of up to more than one year, you would probably go into cold stacking mode where you need to do more preservation you could also have a lower per day cost while stacked, but we have not gone to those stages yet as we are very optimistic that we actually will get work for them in less than one year.
Fredrik Stene: Alright. Thank you so much for comprehensive answers. That's it for me. Have a good day. Thank you. Okay.
Operator: Thank you. We will now take the next question from the line of Craig Rosie from Bank of America. Please go ahead.
Craig Rosie: Good morning, everybody, or I guess good afternoon for you. Just can you talk a little bit about the Saudi market? Just I you mentioned on the long-term demand there, but we've been hearing what's been out in the press about rates potentially being dropped. Could you help us understand what you're seeing and how that may be affecting the Saudi market and just other adjacent markets?
Patrick Schorn: Sure. Bruno, could you take that Saudi question? 
Bruno Morand: Sure and thanks, Craig. Looking at the Saudi market and we managed I mentioned in the earlier remarks, we saw obviously over the cycle Saudi going from about fifty rigs to ninety rigs. And then following the suspension, we're now back down to levels in the fifties. Activity level offshore is now back at the same level as 2019. As we understand, the land operation in Saudi has seen a significant reduction in activity as well. Clearly, the kingdom at the moment is resolving for cash. They seem to think that there is production available at their fingertip, and I think optimizing that has been at the forefront. Now, interestingly, in the last couple of quarters, there's a few things that would indicate that we could be at a trough and possibly working towards a reverse. So one of those indications has been the increased interest from Saudi about lump sum turnkey projects offshore. They've been quite successful with that onshore over time. Not so much offshore, and now they seem to be exploring those opportunities or wanting to discuss these opportunities with the service companies and consequently the jackup provider. So let's see how things mature over time. And then equally, they've been now securing long-term rigs for some of the rigs that's a long-term contract. Some of the rigs that had been previously suspended in their part of the kingdom. Indicating that they're starting to build some long-term capacity or potentially optionality. So that's what we see at the moment. When Saudi is gonna be back in the market, I think we will see. Certainly, we do feel that at a current activity level, going back to the same levels of 2019, meaningful reduction activity is unlikely. And then we start to see some signs of that potentially reversing going forward. But we'll see. Time will tell probably leave it at that. I guess, we try to predict Aramco's steps in the past, and I think people have been proven wrong. So we'll just monitor that going forward.
Craig Rosie: And just I appreciate all the commentary on the liquidity and the urgency of suspending the base dividend. How should we think about share buybacks? Is that a possibility in this environment or is that also off the table? 
Patrick Schorn: Oh, clearly, I think that is something that at a certain moment, is clearly attractive at where equity pricing is currently. I think that there is a variety of things that we can do. I think everything is on the table. At the time that we have a good visibility on the cash coming out of the business. And that would include everything from buybacks, from retiring debt, from straight dividends. I think that there is a whole slew of things you can think of that all will be appropriately evaluated. And we looked at what would be the most appropriate at that moment in time. But, yeah, I think that there is nothing that is excluded. We will diligently work through it to make sure that we have the cash work in the best interest of the company.
Craig Rosie: Thanks for your time, guys.
Operator: Thank you. We will now take the last question from the line of Fadir Chamos from Triton Partners. Please go ahead.
Fadir Chamos: Yes. Hi. Here is Fadir Chamos for Fadi. Quick question about the backlog. How will this backlog work? Do you have a clause in for termination for convenience? If the customers stop the contract, are there any penalty payments? Yeah. Any color about that would be great.
Bruno Morand: Yeah. No problem, Fadir. And if you look at probably difficult to give you a single answer for all the contracts, but our contracts in its vast majority, probably close to totality at the moment, include a clause for termination for convenience, it comes with a level of payout. That payout varies from contract to contract, but in general terms, it's equivalent to kind of the EBITDA backlog expectation of that. Of the remaining term. So if the customer decides to exercise that option, we do recover the profit expectation we had for the contract. And that's the general terms for the contract. It varies a little bit from contract to contract, but they are fairly similar.
Fadir Chamos: Okay. So just double-check, you'd say that the bulk of the backlog is kind of protected, i.e., even if oil prices drop materially, you wouldn't expect customers just to cancel the contract and you guys wouldn't get anything.
Magnus Vaaler: That is correct. Yes.
Fadir Chamos: Okay. And then one quick follow-up. Is it on the CapEx per rig? Like, how do you guys think about it, and how should we think about it? Like, average CapEx per rig per year? Can you all please give some guidance around that?
Magnus Vaaler: Yeah. Sure. As you know, we've now, last year, filed our new build program, so there's no further growth CapEx. And what we're left with then is maintenance CapEx, special periodic surveys, long-term maintenance. We have already indicated we expect around $50 million in 2025 on CapEx. Equates to around $2 million per rig. And I think that is a decent number to also use going forward for modeling purposes and into the next couple of years as well.
Fadir Chamos: Right. Thank you. I think that is all from my side.
Craig Rosie: Very good. Thank you, Fadir. Okay.
Patrick Schorn: And I think with this, we have come to the end of the Q&A session. Thank you very much for your attention.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.